Operator: Welcome to Century Casinos Q4 2020 Earnings Conference Call. This call will be recorded. [Operator Instructions]. I would like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Good morning, everyone, and thank you for joining our earnings call. With me on the call are my co-CEO and the Chairman of Century Casinos, Erwin Haitzmann, as well as our Chief Financial Officer, Margaret Stapleton. As always, before we begin, we would like to remind you that we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and we encourage you to review these filings. In addition, throughout our call, we refer to several non-GAAP financial measures, including but not limited to, adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and SEC filing available in the Investor section of our website at cnty.com. I'll now provide an overview of the fourth quarter results. After that, there will be a question-and-answer session. Net operating revenue increased by 26% and adjusted EBITDA grew by 87% over Q4 of last year. Over 80% of EBITDA comes from our operations in the U.S., where 4 out of 5 properties posted strong gains in both revenue and EBITDA. We are pleased with the robust results for the quarter, even though our casinos in Canada and Poland were closed over the busy Christmas holiday season. In our disclosures, we estimate our EBITDA in Q4 would have been $20 million or more than double that of last year. This great performance is also the result of the successful integration of the 3 casinos we acquired a little over a year ago, and the tremendous progress our local management and operating teams have made since we reopened all properties. Since we reopened in June, that was the 3 casinos we acquired from Eldorado, we have been able to grow EBITDA by a combined 26% compared to the same time last year under the previous ownership. That, by the way, on an annualized basis, reduces the acquisition market where we paid for these operations down to as low as 3x. The trends we saw in the summer continued throughout the fourth quarter, increased spend per visit and more time spent on device, with a somewhat reduced capacity on our casino floors and limited amenities for our guests. Overall visitation to our properties was down a little compared to last year. But being selective with our amenities, keeping strong controls on the promotional environment and staying focused on the high-margin areas of our business brings expense reductions and new efficiencies resulting in significantly higher operating margins. As you know, this is an industry-wide trend, and it looks sustainable. We believe these higher margins will continue to be attainable throughout 2021. And we also see more upside when the older demographics feel more comfortable returning to our casinos in higher numbers. Let's now look at the performance of each reporting segment, starting with Colorado. It was a fantastic quarter for our properties in Cripple Creek and Central City. Net operating revenue was up 20%, and adjusted EBITDA more than doubled to $3.4 million. The EBITDA margin jumped from 20% to 36%. In Colorado, each county has different gaming floor restrictions. In Cripple Creek, the full slot floor is open and half of the table game positions are in operation as of today. In Central City, the casino is currently operating approximately 65% of the slot machines and half of the table game positions. We see a significant increase in time on device and players are spending more per visit. Our market share went up in both markets, but most significantly in Cripple Creek from 10.5% to 13%. 1 of our 3 sports betting partnerships is already up and running. The other 2 plan to launch later this year. All 3 partnerships pay us a percentage of revenue with a minimum guaranteed amount per year. This is without any investment or cost participation from our side, so it flows straight to the bottom line. And in a couple of months on May 1, Colorado casinos will be allowed to remove the current $100 maximum bet limit and introduce new table games such as Baccarat. Table games currently comprise less than 10% of total gaming revenue, which is well below the 25% of comparable regional gaming markets, clearly indicating some upside for our Colorado operations. The improved table game offering will appeal to new customer segments, for example, the Asian community and higher worth customers, and we are looking forward to capitalize on this opportunity. Moving on to Missouri, which is our most important market in terms of EBITDA and cash flow generation. About 2 properties in Cape Girardeau and Caruthersville, about 95% of all slot machines and 58% of all table game positions are available for play. Results for the quarter were again fantastic. Compared to Q4 of last year, we managed to grow net operating revenue by 3% and adjusted EBITDA by 31%. We increased the EBITDA margin from 33% to 42%. The growth was carried by both properties in Cape Girardeau and Caruthersville, equally, they managed to achieve similar growth rates. In Caruthersville, even had the highest slot coin-in in Q4 in the property's history. The primary driver for these great results was an increase in the average revenue per player of approximately 40%. Additionally, handle pulls per hour have increased. Guests appear to be playing slightly faster and betting more, which is driving the increase in revenue per player. Overall visitation is down a little, but we clearly see that the decline comes more from the lower end of the database, while play from higher end players remains very strong. Table game revenue, which usually is contributing significantly, has lagged behind the strong slot volumes because guests are still not allowed to smoke while seated at the gaming table. We hope that restriction gets lifted soon, that will be a good upside for us in Missouri. And the possibility of sports betting legislation later this year or next provides additional upside in that market. This quarter, our Missouri properties go live with a new mobile app, which creates lots of opportunities to further increase customer loyalty and also save significantly on direct mail expenses. The app focuses on increasing customer engagement and provides guests access to all amenities and promotions with full account visibility and the ability to take advantage of earned rewards and offers. Next is West Virginia, where the Mountaineer Casino, Racetrack and Resort had a more challenging quarter. EBITDA was down 30%. However, that is not surprising at all because of a temporary smoking ban, and more importantly, the curfew in Ohio, where the majority of Mountaineer's business comes from. Currently, the gaming floor offers 94% of the slot machines and 45% of the table game positions for play. Some of the food and beverage outlets are open with limited hours of operation, but the convention space remains closed and the hotel is operating with limited capacity. Because of its resort character, Mountaineer will greatly benefit from a softening of the COVID-19 situation, probably more so than pure local casinos. And it will also benefit when the over 60 demographics feel more comfortable again to come out in larger numbers. Additionally, Mountaineer's best quarters are the summer quarters, Q2 and Q3, so we feel there is good upside ahead. Sports betting at Mountaineer Racetrack and Casino operates in partnership with William Hill, and online casino gaming is expected to go live next quarter in partnership with the Rush Street Interactive and also with William Hill. Our international operations in Canada and Europe had a difficult quarter. Combined, they contributed $3.7 million in EBITDA. It is down from $7.8 million in Q4 of last year. We operated under heavy capacity restrictions for most of the quarter and had to close for the Christmas holiday season, which usually is very busy. Since then, Poland has reopened in mid-February, but from what we hear, most likely we'll have to close again soon. Canada is still closed. On a consolidated basis, these international segments account for 19% of the company's total consolidated EBITDA. As reported, we are in talks with several parties about the sale of the Polish casinos. But as of today, we can't predict the outcome of these discussions and negotiations. With that, a few words about our balance sheet, liquidity and outlook. As of December 31, 2020, we had $63.4 million in cash and cash equivalents and $184.6 million in outstanding debt on our balance sheet, resulting in net debt of $121.2 million. The outstanding debt included $168.3 million related to the Macquarie credit agreement; $10.2 million of bank debt in Europe; and $15.3 million related to a long-term net lease for Century Downs in Canada, all of that net of $9.3 million in deferred financing costs. We do not foresee any substantial CapEx in the short and midterm. All our properties are in good shape. We have put all nonessential CapEx projects on hold for now. On a normalized basis, we reinvest approximately 3% to 4% of net revenues into our properties. Overall, our business has been remarkably stable, with almost all of our revenue coming from customers who live within a 1.5 hours drive from our properties. We have successfully executed a strategy based on our premium local customers, and we fully intend to keep the focus on a more efficient, higher-margin business going forward. We see continued upside from creating efficiencies and synergies with the recently acquired casinos from Eldorado. And as mentioned, we have more sports betting table game growth coming in Colorado. We look forward to our casinos and racetracks to reopen in Canada and to an overall very busy summer season in North America. With that, on behalf of the company's management and Board, I'd like to thank our team members, our guests and our stockholders for their continued loyalty and enthusiasm as we manage our businesses through these challenging times. Thank you for your attention, and we can now start the question-and-answer session. Operator, go ahead, please.
Operator: [Operator Instructions]. Your first question here comes from Jeff Stantial from Stifel.
Jeffrey Stantial: I want to start with your operations in the U.S., if possible. We've heard from several of your regional peers that generally, things started to pick up sequentially in January and February. Is this something you're seeing across any of your U.S. markets?
Peter Hoetzinger: Yes, we've seen that with the exception that we have about 7 to 10 days in February, especially in the Midwest, where the ash winter storms, it has some impact. But other than that, Erwin, that's right. We see some good performance, right?
Erwin Haitzmann: Definitely, yes. Definitely. Exactly as you said.
Jeffrey Stantial: Okay. Great. And then moving on to the Canada closures and the potential upcoming Poland reclosures, can you help us frame what the EBITDA burn rate looks like for those assets? That's my understanding, it's more limited in Canada comparatively given some government subsidies. But just any parameters around that to help us think about our models would be great.
Erwin Haitzmann: I think, Peggy, maybe you can elaborate on that. Sorry. Peggy you can give us the numbers and then also include the effects of the government subsidies that we get in Colorado -- in Canada.
Margaret Stapleton: So for Canada, net from a cash perspective, where you look at burn rate from a cash perspective, we're burning about $600,000 a month in cash. And that is we are getting subsidies back as well. For Poland, let's see. You can pretty much -- from an EBITDA perspective, Poland is going to burn, there's a -- it will be running negative EBITDA. Let me see. Poland probably will be a negative $300,000 or $400,000 in EBITDA every month.
Jeffrey Stantial: Okay. Great. That's helpful. And just to be clear, on the Canada burn rate, any -- can you -- what sort of sits below EBITDA if you're thinking about from a cash perspective? I'm just trying to -- and if you don't have these numbers on that, we can take this offline.
Margaret Stapleton: Yes. I don't really have these numbers right in front of me, but we can pull them together.
Jeffrey Stantial: Okay, perfect. Yes. Appreciate that. One other quick one, if you don't mind, lastly on Poland, I appreciate that you can't elaborate further on an outcome there, but I was wondering if you could just help frame for us how you're thinking about pricing those assets? And what I mean by that is, are you thinking about things on a multiple of 2019 EBITDA? Or kind of how is the potential buyer handicapping the recovery time line there? And that's all for me.
Peter Hoetzinger: No, obviously, I mean, everybody talks about normalized EBITDA. But then again, it's difficult to say what normalized EBITDA means, not necessarily 2019 numbers. And so yes, it's probably going to be somewhere around the 2019 numbers and based on that, reasonably marketable. So yes. But difficult to say at this stage. I mean Poland has a unique situation, and it's extremely difficult for outsiders to enter the market. So it's a great place for the incumbents, and that means every license that you have there has a pretty high value on the one hand. On the other hand, the license has a life of 6 years. So it's -- yes, it's a difficult question how to put the value on it because our company, Casinos Poland, has had its licenses for the last 30 years, also always has been relicensed. Interesting discussions with the potential buyers, and we probably should know more about -- in about 4 to 6 weeks.
Jeffrey Stantial: I really appreciate the color and congrats on a strong quarter.
Peter Hoetzinger: Thanks, Jeff.
Operator: Your next question comes from the line of David Bain from B. Riley Financial.
David Bain: And congratulations on another quarter of margin and I guess, just overall execution. My first would be broad based, just we've heard a lot of domestic operators speak to a greater mix of a younger demographic. And now with the vaccine rollout, that core older demographic seems to be returning. I guess, one, are you seeing that same dynamic? And then two, if so, have we captured maybe a broader demographic out of COVID? Or do you think the demographic will simply rebalance over time? Any kind of thoughts around that would be helpful.
Peter Hoetzinger: Erwin, do you have any thoughts on that?
Erwin Haitzmann: Yes, we don't really see that -- what you have described, David. We have -- our demographics now are pretty much the same as they've always been. And so in the -- as a percentage distribution of age, but what we expect is that as the restrictions ease up or the vaccinations progress further, that more of the lower-end players will come back. But that not necessarily has an impact on the change in demographics in our casinos.
David Bain: Okay. Interesting. And then if we look at the Missouri and West Virginia acquisitions, I think you were able to implement some improvements that have had a positive impact with little CapEx. Just looking at the targets that you may be reviewing today, is that the same type of dynamic you look for, like small things that you can do immediately to drive margin or revenue? Or should we view the next acquisition a little differently in terms of potential CapEx? I guess trying to understand if the Missouri, West Virginia model is one we should look at going forward.
Peter Hoetzinger: Yes. We think very similarly as we've done before. So not -- once we address something, the money that investment that you would have to put into it is not going to be huge, but we want to make a difference just by being able to focus much more on that operation. And then, for example, the previous owner has been able to create synergy effects by introducing the property into our portfolio and eliminate certain overhead that was there, plus a lot of other smaller operational improvements that you see the property in need.
David Bain: Okay. Great. And just because my first one kind of fell through there. If I could ask one more on Cripple Creek, one of your competitors is spending an additional $180 million on kind of a higher end hotel and amenities. Does that make you change your strategy there with the table game change? And potentially relook at former hotel plans for spillover traffic or whatever? Or are you just going to watch everything unfold before making any strategic changes there?
Erwin Haitzmann: Peter, if I may. For the moment, we just watch and see. We don't see a need to actually react immediately. I mean if this is happening, this is great. It will expand the market. It will certainly bring more people up to Cripple Creek, and that alone is good for us already. And we think that by the operating signs we have will bring us part of that additional number of guests over, even if they sleep at another property. As you know, we have ample land available and also we have plans in the drawer that have been -- that have progressed rather well. So if one day we'll decide there is attractive upside to be gained by building our own hotel or expanding the hotel rooms that we have, we could rather quickly do so. But at the moment, it's not a priority.
Operator: [Operator Instructions]. Your next question here comes from Chad Beynon from Macquarie.
Chad Beynon: Peter, I was wondering if you could elaborate, maybe just a little bit more on the Caruthersville stats. I think you said revenue per player was up 40% in the quarter. And then at the beginning, I know you mentioned higher spend per visit and more time on device. Do you believe that this was an anomaly? Was it just kind of a sharp peak during holiday periods in the fourth quarter? Or is it something that's really showing that this property and the customers around there could continue to play at higher levels, particularly post-reopening when more people come back to the property?
Peter Hoetzinger: We're seeing that great performance since June, actually since we've reopened both properties in Missouri. So it certainly is not a onetime thing. It wasn't a onetime thing in Q4. It has been happening for over half a year now. Erwin, any additional color from you?
Erwin Haitzmann: I can only underline what you said. We -- I mean we can't say too much, but we are -- I can say, we're really, really pleased with the numbers in Caruthersville also in Q1.
Chad Beynon: Okay. Great. Appreciate it. And then given your higher free cash flow, you guys have generated $40 million of EBITDA in the back half of '20 despite some of these restrictions and closures. How are you thinking about your current lease? I know when you originally announced the acquisition, you had about 2x coverage. Are there opportunities to maybe adjust for that, take advantage of the multiples that REITs are paying for this rental stream? Or are you more focused on just deleveraging your conventional debt at this point?
Peter Hoetzinger: Deleveraging is one thing that we focus on. And the other one when it comes to rent and the lease agreements we agreed. So we want to address that perhaps in connection with a new project, a new M&A situation, new acquisition that we may want to do this year. That might be the right time to address that. For now, the focus is on deleveraging and finding another good target.
Chad Beynon: And are you still thinking that roughly 2x coverage is the right metric to use for new deals or maybe slightly lower, but something kind of in that ballpark?
Peter Hoetzinger: Yes, in that ballpark. We don't want to go too aggressive. I mean I'd rather be more aggressive on the cap rate, but you know us for quite some time, we have been a little bit conservative and I'd rather pay a lower total amount of rent because you never know in the next -- these are long-term agreements. You never know what's coming in the next 3 or 5 years.
Chad Beynon: Okay. Great. Appreciate it. Congrats on the results and best of luck.
Peter Hoetzinger: Okay. Thanks, Chad.
Operator: And there are no further questions in queue. I will now hand the call back over to Mr. Peter Hoetzinger for closing comments.
Peter Hoetzinger: Good. Thank you for your interest in Century Casinos and your participation in the call. For a recording of the call, please visit the Financial Results section of our website at cnty.com. You have our best wishes for good health. Thanks again, and goodbye.
Operator: Thank you. This concludes today's conference call. Thank you for attending. You may now disconnect.